Operator: Good day everyone and welcome to the Entergy Corporation First Quarter 2006 Earnings Conference Call. This call is being recorded. At this time, for opening remarks and introduction, I’ll turn the conference over to Michele Lopiccolo of Investor Relations. Please go ahead.
Michele Lopiccolo, Vice President, Investor Relations: Good morning and thank you for joining us. We’ll begin this morning with comments from our CEO, Wayne Leonard, and then Leo Denault, our CFO, will review results. After the Q&A session, I will close with the applicable legal statements. Wayne…
J. Wayne Leonard, Chief Executive Officer: Thanks Michele. Good morning everybody. Somebody once said that sin is the failure to reach your full potential; guilt is the unlived life. Under those criteria, given the events of the past year, we could all die happy men and women here at Entergy. The damage inflicted to our system over 120,000 sq. miles by the two worst natural catastrophes in our history was exceeded only by the extraordinary response of our employees. Many of whom were displaced from their homes, lost all their personal and real possessions, and were staring directly in the face at months to years of personal stress and trauma, and they never blinked. They’ve exceeded ones expectation of what is possible while living every hour of the very long, long days on the edge, in battle, living a life that matters. Today, we’re conducting our earnings call from our New Orleans office. After eight months, scattered from Texas to Michigan, this week we finally returned home. The recent decision to return to New Orleans was as disciplined as any decision we’ve ever had to make. We studied some 172 different functional processes from every conceivable perspective, including numerous contingencies and linkages among the processes. Outside the tabletop analysis, we learned a lot over the last few months in the real, although it seems so real at times the world that we were living. In particular, we learned how we can more effectively conduct business through digital technology and dispersed employees using realtime information. While we have reopened our headquarters office in New Orleans, we have also established primary business offices in other locations to better align functional processes with business needs and to minimize the risk of business interruption in the future. Now, let me turn the discussion to the significant progress we have achieved on our 2006 agenda. At the top of the utilities agenda, after completing system redundancy work once the lights came back on, is the recovery of storm cost, and we’ve checked out all of activities to the first quarter as planned. Our approach remains unchanged. First of all, we want to collect all the insurance proceeds we’re entitled to. Secondly, we want to secure our fair share from federal funding initiatives like the Gulf Opportunity Zone legislation and Community Development Block Grant Funding that is critical buying down the rate impact on our customers. Third, we will seek to achieve securitization for reimbursement of storm cost from 2005 and to add a safety net storm reserve in each jurisdiction for future storm damages. Lastly, having pursued storm cost recovery through insurance, federal funds, and securitization bonds, we will continue to work with our regulators to implement rate plans to mitigate the uncertainty and volatility that customers, owners, and lenders all experienced in 2005. Our regulators have been appreciative of the storm restoration efforts and supportive of not only providing some interim relief to address the quizzy issues but also signaling to rate agencies and creditors that they acknowledge the regulatory compact to provide recovery for prudently encouraged storm costs. In addition, they have indicated strong support with some of further recovery approaches like Community Development Block Grant Funding and legislation to allow securitization of the storm cost. Let’s start with priority one, insurance. We have received an initial payment from our primary insurer. While the amount was small, it indicates the process is moving forward and insurance is forthcoming. We anticipate it will take into 2007 to receive all insurance proceeds, currently estimated at $382 million. Our second initiative, Federal funding, we’ve already received a $344 million income tax refund during the quarter as a direct result of the Gulf Opportunities Zone legislation passed at the end of last year. This legislation accelerated the timing of tax deductions and the related tax refund that we were already entitled too. And I have been spending a lot of my time meeting with government officials at all levels and utility commissioners trying to make clear the size of the damage doesn’t change the basic principles of law and the simple fact that these are recoverable cost under the regulatory compact, or in landmark Supreme Court cases, like Bluefield Waterworks versus West Virginia Public Service or FPC versus Hope Natural Gas, both of which I’m sure you’ve heard many times before. I’ve also been trying to build a consensus that Community Development Block Grant Funding is particularly critical, to establish a rate plan for Entergy New Orleans and achieve agreement that the next few months are absolutely critical to achieve closure on this issue. On the securitization front, efforts are providing results. Securitization legislation was signed by Mississippi Governor, Haley Barbour in March. Not only does the legislation allow for securitization of system restoration cost for Katrina and reserve for future storms, it does server through general obligation bonds of the state. In Louisiana, securitization legislation is also moving forward, having received all but one vote in favor of this legislation in the house. In Texas, on April 17th, Governor Perry called the legislature into a 30-day special session to address finance issues. We have been working for several weeks with various parties to draft the securitization legislation and to obtain support for passage. We expect that this legislation could be taken out during this session if school finance issues are resolved and the Governor opens the call for other issues. Turning to our regulatory initiatives in Louisiana, the commissioner approved interim storm recovery for Entergy Louisiana and for Entergy Gulf States through two mechanisms until final recovery is achieved for our phase two filing. Initially, $20 million can be recovered through the fuel adjustment cost from March through September and then just under $3 million monthly can be recovered through the formula rate plans to the extent 2005 test year formula rate plan filing to be made in May indicates we’re not earning over the top of the band. On the surface, this is less than we requested. The difference was primarily due to the fact of the LPSC factored in an assumption for insurance recovery. No disallowances were ordered. We expect to make our phase two filing in Louisiana around the end of the second quarter or in the third quarter. In Mississippi, we were encouraged by Governor Barbour’s stated intent to use Community Development Block Grant Funding to mitigate rate increases for the benefit of Mississippi rate payers. The Commissioner scheduled the issue of final order on June 23rd on the regional list and prudence of our storm cost, at which time Entergy Mississippi will forward the final commission order to the governor to obtain Community Development Block Grant Fund as he has promised. In Texas, we continue to provide updates to the Public Utility Commission Storm Project and we expect to make a final accounting filing on June 1st. The outcome of the securitization legislation in the special session will guide our next action to seek recovery of our storm cost in Texas. In New Orleans, load has remained fairly stable in the city at around 60%. In April the bankruptcy charge extended our exclusivity period for filing a plan of reorganization by four months to August 21st. Turning to other utility initiatives; in Texas, a unanimous settlement was filed allowing for rider recovery of $14.5 million annually for 15 years for transition and competition cost. We expect the PUCT to consider the formal settlement in May. Combined with the capacity rider approved by the PUCT in December, these two legislative riders are equivalent to roughly two-thirds of the rate request that was filed in 2004, but was denied pending legislative action on the rate freeze issue. Implementation of these two riders will obviously contribute to improved returns and clearly help close the gap between our 8.2% ROE earned in Texas in 2005 and our return which is just under 11%. And through another project initiated by the PUCT, we’re evaluating qualified power region alternatives. In order to authorize customer choice, the PUCT must first certify qualified power region. Our goal is to reach consensus with enough market participants to make substantially uncontested retail open access filings by the end of this year as called for by the Texas Legislation. In Louisiana, initial testimony was filed last week outlining plans for jurisdictional separation at Entergy Gulf State. Assuming all parties can reach an agreement, potential implementation of the jurisdictional separation could occur in mid 2007. On a less positive note, actually considerably less positive, in Arkansas, the Commission suspended the annual fuel rate increased schedule to take effect in the first billing cycle in April pending further investigation, and a week later issued a show cause order on perspective elimination of our fuel recovery mechanism and requiring a current cost of service study by June 8, 2006. Entergy Arkansas filed for rehearing of the Commission orders requesting that the fuel rate increase be implemented in May subject to refund as the Commission extends its show cause order. We’re confident that our Fuel Purchase Entergy Expanders will be found appropriate. This is a case where there’s good law and there are good facts. For example, the Arkansas Commission staff reviewed in detail Entergy Arkansas 2005 actions and decisions and found no imprudent action, and the staff has filed testimonies supporting Entergy Arkansas’ request to implement the fuel rate increase subject to refund. Moving on to another key initiative at utility; we issued our final RFP for 2000 megawatts of long-term supply resources on April 17th. Through this process, we’ll evaluate a self-billed solid fuel option of Little Gypsy units relocated near Laplace, Louisiana, compared to other third-party proposals obtained through RFP process. We’re considering adding two coal and ore, coke fuel circulating through fluidized bed boilers to provide about 500 megawatts from an old gypsy self-billed option. This project represents the opportunity to diversify our fuel mix and leverage an inexpensive fuel resource, petcoke, particularly since Little Gypsy is located in the area that some would refer to as the Saudi Arabia for petcoke supply. The Little Gypsy site is located in the South Region, a load pocket system and therefore a very attractive location for additional generation. We’re targeting an end-of-the-year selection and as in the past, we’ll seek formal regulatory orders to assure risk and returns appropriately defined prior to transacting. Turning to the Federal front, our key initiatives are moving into new phases. In April, we made our compliance filing, outlined our plans to implement FERC ruling in the system agreement case. Under the compliance filing, any payments will be recorded as purchase power expense and will be payable over a 12-month period commencing no sooner than June 1, 2007. Payments will be based on actual production cost of the previous year ended December 31st. Another positive development, FERC conditionally approved our Independent Coordinator Transmission proposal and extended the initial term of the ICT from two to four years finding that substantial benefit can be got to market participants and to introduce new FERC customers. FERC indicated that Entergy’s ICT proposal was intended to improve and expanse the transmission information, enhance transmission excess, and relieve transmission congestion. Further, with limited modifications FERC concluded that the ICT proposal is consistent with and/or superior to the Open Access Transmission Tariff. Obviously, we’re pleased with that outcome. We’ll review the order and modifications with out retail regulators to ensure their continued support, and over the next two months we’ll submit a compliance filing and an executed ICT contract to FERC. We expect that the ICT operations will commence within 30 days of the final approval. Turning to Nuclear, the Northeast fleet delivered another quarter of solid operational performance. The Northeast fleet achieved the capacity factor of 97% and production cost and for megawatt hour consistent with expectations and $19 to $20 per megawatt hour range. We also saw improvement in the average realized price for sales with an increase of 7% as a result of re-contracting efforts and the decision to take measured market risks by leaving a larger portion of our portfolio open to capture the historical risk premium and the spot versus the forward market. And after more than 29 months, and the most extensive engineering view of any upgrade, including a unanimous approval recommendation from the Advisory Committee on reactor safeguard, the NRC issued a license amendment for up to 120% of your Vermont Yankee’s free upgrade power. Power expansion began in early March and currently stands at 17.5%, as we evaluate performance data and begin taking the final steps to achieve the full upright. We’re also moving to the next stage of our Northeast fleet, the license extension application process. In March, the NRC informed us that our license renewal applications for Vermont Yankee and Pilgrim were acceptable, complete, and would be docketed with an opportunity for hearing. The schedule calls for a 22-month review and approval process if no hearing is requested and a 30-month review if the hearing is requested. Finally, we closed on the sale of our competitive retail business and have got to a more natural owner, Direct Entergy. I started by saying that due to the extraordinary efforts and successful response to the massive storm damage we could die happy. Knowing we fought a good fight and a just cause and emerged victorious. That’s true, except for one big thing. Last year was miserable in terms of our financial success. Granted it’s a hard life when your customers take off to other states and they don’t come back for months and you have to front the payment of $1.5 billion in total storm damage cost while you wait for the recovery process to play out. But despite the storm restoration success, there is no joy here and what could happily have been called mud bill just a few months ago. Last year was a strike out financially and time will not change that. It’s history now. We failed to meet our standards for delivering value to our owners and it feels just like the numbers Leo will show you in a moment, miserable. We are on a mission to return to where we would have been if the storms had never hit until we have topped shareholder returns as we have been accustomed to doing. The line of sight is still not as clear as we would like, but we know your expectations and I assure you ours are higher. And now I’ll turn the call over to Leo.
Leo Denault, Executive Vice President and Chief Financial Officer: Thank you Wayne and good morning. In my remarks this morning I will cover quarterly results and review our currently liquidity position. I will then close with an assessment of our first quarter performance in the context of our full year earnings guidance and fault on what we see ahead. Turning to our financial results for the quarter, Slide 2 shows the first quarter 2006 as reported, and operational results were higher compared to one year ago. Operational results increased 13% with the higher results coming from utility, parent, and Entergy Nuclear. In addition, the cliché associated with our stock repurchase program contributed to results again this quarter. Slide 3 shows utility parent, and other earnings rose compared to the first quarter of last year. Several factors compared to produce the higher results in this business including higher revenues from constructive raid actions including the addition of Perryville and Attala plants, increased margins on wholesale sales, and accretion from the share repurchase program. During first quarter this year, utility, parent, and other did incur higher O&M expense. Some of these higher costs were expected and are being recovered in rate including increased storm reserves and costs associated with the Perryville and Attala plants. Higher nuclear expenses also increased O&M at the utility. These increases along with higher interest expense in connection with storm cost, financing, and the impact of milder than normal weather partially offset the factors that led to higher results at the utility. In looking more closely at utility sales, we saw solid increases in the residential and commercial sectors on a weather-adjusted basis. The increased sales this quarter resulted from the return to a pattern of more typical growth in those service areas without serious storm damage. In the industrial sector, we experienced a decrease of 4% this quarter compared to last year. We still have two large refineries, customers of Entergy Louisiana who’ve not yet returned to full service. We expect one of the refineries currently offline to return to full service shortly with the other likely coming back by the end of the second quarter. On our last quarter’s earnings call, we noted that a chemical plant in the Entergy Gulf States Louisiana territory suffered severe damage and would not reopen. An update to that situation is good news and that this customer now plans to reopen at about 50% capacity. Entergy Nuclears’ operational earnings per share reflected higher results compared to the same period last year. The increase is due primarily to higher generation due to fewer outage days this quarter and power upgrades, also our contract pricing lead to improved results in this business. Partially offsetting these factors was higher O&M due primarily to the effects of refueling outage timing. In the first quarter last year, we had 20 days of refueling outage at Indian 3. During outages, planned expenses are deferred and amortized over the ensuing run cycle of 18-24 months. This had the effect of lowering O&M in the first quarter of 2005 relative to the current period when there was not refueling. Closing out the discussion of quarterly results, we look at the non-nuclear wholesale assets business. Results in the first quarter of 2006, were lower than a year ago when this business realized the benefits from the sale of SO2 allowance. There were no sales of SO2 allowances in the current period, which led to lower results compared to a year ago. As reflected on Slide 4, net cash flow from operating activities was up significantly compared to the first quarter of 2005. One factor for the higher cash flow was the receipt of a $344 million tax refund. It is important to understand that while positive this is essentially a tax timing difference. The refund of this magnitude was made possible because we incurred tax losses in excess of $1 billion associated with Hurricane Katrina damage. I should also mention that we will realize additional tax deductions going forward in connection with casualty and property losses as well as bonus depreciation associated with Hurricane Rita, but we will not be seeing a large tax refund similar to this year. These deductions will reduce our overall tax expense in the future. Other factors contributing to higher cash flow this quarter were collections of deferred fuel balances at utility and higher revenues at Entergy Nuclear. The current quarter’s improvement in net cash flow from operating activities follows two of the weakest OCF quarters for the utility in recent history. With restoration activities essentially complete, we ended first quarter 2006 with more than $750 million of cash on hand and our gross liquidity stood at $3.5 billion. This untapped borrowing capacity ensures we are able to fund future unforeseen events. That said it is important to note that since last August, we spent $1.3 billion in storm cost, yet we’ve recovered less than $30 million. This is evident in our net debt ratio, which is increased to 15%. Slide 5 demonstrates the important distinction to be made between funding and recovery of storm cost. Funding relates specifically to obtaining the cash needed to pay our storm cost when they are incurred. Recovery is our actual collection of revenue in future periods to offset storm cost. For example, our $2.5 billion financing program and the tax timing benefits we received this quarter are temporary funding sources, but we still require recovery on some combination of insurance, Federal assistance, securitization, and customers. Wayne offered updates on each of these efforts, so I won’t reiterate the detail. I will, however, emphasize that securitization is a highly efficient financial mechanism for both customers and the company. As such, we will continue to focus on getting securitization in place, but we will also pursue the other recovery initiatives shown on this slide. Moving now to earnings guidance, Slide 6 is the same slide I shared with you last quarter. It has not changed because of the components of our as-reported and operational expectations for the current year have not changed. We continue to see 2006 as reported earnings in the range of $4.78 to $5.08 per share with operational earnings in the range of $4.50 to $4.80 per share. Both ranges exclude results from Entergy New Orleans. It should be no surprise to you that we continually assess our performance across a range of factors including our earnings projection. I will take a few minutes now to share with you our view on our performance to date compared to our guidance assumption. In establishing 2006 guidance, we anticipated that non-storm related rate actions at the utility would contribute to earnings this year. We also projected that the continuation of storm-related outages at Entergy Louisiana would serve to offset a portion of that contribution. We can now see evidence of these assumptions getting to materialize in the first quarter. At the utility, we expected to see higher operating and maintenance expenses for reasons ranging from inflation to additional plants being added to the utility. While somewhat moderated in first quarter, higher O&M for the year continues to be likely, and finally, we knew higher interest expense would impact results. The financing cost associated with storm restoration was clearly declined in this projection held through in the first quarter. Looking ahead, we expect to see some ongoing effect of higher financing cost at least in the near term. As we reflect on utility’s performance in the first quarter, we know that not everything went in our favor. For example, one obvious factor that differed from our expectation was weather, from a guidance perspective we assume normal weather. But for the first quarter, we reported an earnings of $0.06 per share due to milder than normal weather. In nuclear, we expected higher contract and market energy pricing and higher generation from upgrades as well as fewer outages would boost results. Each of those factors indeed added to the results in the first quarter. However, spot electricity prices and prices for the remainder of 2006 in the Northeast are lower than the $83 in megawatt hour we assumed in guidance. In spite of this, we know that prices are volatile and there are any number of factors that can move prices up or down over the next three quarters. Also at nuclear, we expected to see higher operating and maintenance expenses, and that was the case in the first three months of this year. As we assess our overall performance today, we continue to believe our current earnings guidance ranged for both as reported and operational earnings are appropriate, with some factors that worked for us this quarter like utility sales growth in the residential and commercial sectors. We also had some go against us like weather and market prices. With three quarters to go, we know there is a potential for a number of variables to materialize. As we look beyond first quarter, we remain committed to achieve positive outcomes for those variables which we control. It is important to acknowledge that our recent financial performance in terms of shareholder returns does not meet the standards we have established for our company. Slide 7, a chart many of you will recognize as one we’ve used often in presentations, reflects our shareholder return performance over the past 15 months. The decline in our performance is evident and we could offhandedly defend it as being attributable to events beyond our control. However, we know it is our responsibility to manage through even the most difficult of times. Beyond improving the view shown on Slide 7, we will not lose sight of our long-term aspirations as shown on the bottom of Slide 8. Our first quarter results have gotten us off to a solid start on our earnings growth aspiration. However, the remainder of our aspirations is tied closely to our success in the storm recovery process. Specifically, our return metrics are shaping well, but still storm financing has put up our debt ratio, and related to this our credit quality has come under additional scrutiny. Dividend growth stunted by the financial impact of the hurricane cannot be seriously reconsidered until we have a line of sight on the cost recovery process. This year finds us off to a good start with much more work to be done. In summary, we’ve been faced with some of the most challenging financial periods in our company’s history. In a period of eight months, we have funded approximately $1.3 billion of storm cost, financed $300 million of fuel costs, executed a $2.5 billion financing plan, managed the cash resourcing effort for one of our subsidiaries spurred by a liquidity crisis in a Chapter 11 proceedings, and navigated the challenges to our credit quality coming for intense scrutiny over storm cost recovery process. This difficult period has not gone by without financial consequences to our company. The chart shown on Slide 7 tells the story and it can be quantified. The decline in these market values since 2005 is nearly $2 billion, but we have a clear view of the path to recapture this value and we think of this path of three inter-related phases. We have stabilized our financial situation, which was our first phase, and are now well into phase two, the recovery phase. This phase is included and will continue to include a collaborative effort with key governmental and regulatory parties. While we have achieved some level of success in the recovery phase, more work remains. Finally, we have never lost sight of the importance of growing our business, and growth is our third phase. Additional progress in recovery will allow us to devote our energies for executing our supply plan initiatives, including the potential for self-build options. At Nuclear, we will take measured market risks, capture upsides, while aggressively managing costs and pursuing new acquisitions and contracting opportunities, and we will be positioned to execute out-of-capital deployment opportunities, including evaluating the dividend and additional share repurchase. We now turn to our Q&A session and our senior team is available to respond to your questions.
Operator: Thank you. For our telephone audience, if you do have a question at this time, please signal by pressing the “*” key followed by the digit “1” on your telephone keypad. We’ll proceed in the order that you signal us and take as many questions as time permits. If you are using a speaker phone, please make sure your mute function is turned off to allow your signal to reach our equipment. Once again that is “*” and “1” if you do have a question. We’ll pause for just a moment to assemble the roster. The first question will come from Dan Eggers with Credit Suisse.
Daniel Eggers, Credit Suisse: Hi good morning. First question; you guys have done a very good job as far as managing the balance sheet to avoid a contingency event. With some nuclear assets apparently in the market for sale, how do you guys think about it approaching those acquisitions? Are you going to look and be involved or do you wait until more of the storm cost recovery is squared before you start reallocating bigger chunks of capital?
J. Wayne Leonard, Chief Executive Officer: Dan, this is Wayne. I think we’ve said before on nuclear assets, while we’re interested, I think like you said we’ve done a good job of providing for various events and contingencies from this in the past and the financing we put in place last year. Anytime we look at share buyback, dividend increases, we always leave ourselves some headroom for the potential that nuclear assets in particular would become available in the marketplace. So, to the extent that those come up, we feel like maybe we’re not as well positioned as we might have been a year ago or might be six months from now or whatever. But, by the time a plant would close, we expect to be better positioned maybe than we’ve ever been financially, but we’ll be interested.
Daniel Eggers, Credit Suisse: Great. Next question; I know you guys talked about it a little bit, but just on the CDBG Federal block allocations particularly in Louisiana, can you give an update? I know that there was a 60-day window and all applications were supposed to be in mid-April, it sounds like that’s been delayed, but could you give a little color on what’s going on in Louisiana and how dependent money coming your way will be on additional capital coming out of the budget reconciliation?
J. Wayne Leonard, Chief Executive Officer: We’ll let Cut Hébert address that issue with Dan.
Curt L. Hébert, Jr. Executive Vice President, External Affairs: Dan, Curt, good to talk to you. Let me just tell you, this is still a little bit up in the air exactly when the dates will fall, but we’re looking for and what we’re hearing is that you’re going to see something in the third quarter as to the application being handed up to hood. Obviously that would set something up for the fourth quarter that could be very positive for the right payers and shareholders of the company. But having said that, there is also a supplemental package which we’re looking at coming from Congress in the neighborhood of $5.2 billion of which we’re saying $4.2 billion would go to Louisiana. There has been allocation already talked about with the initial Louisiana plan. If you remember, they set aside $1.24 billion for infrastructure, the utility dollars are not clear as to whether or not they’re included in that at this point, but we are looking for that $4.2 billion to really add to what can be done through Louisiana.
Daniel Eggers, Credit Suisse: Got it, thank you. Last question; now that you guys are finally making your way home from a corporate perspective, I believe at one point in time you had said the headquarters needs to be in place where you do business, what should we read into the move back to New Orleans at this point?
Curt L. Hébert, Jr. Executive Vice President, External Affairs: I don’t think there’s a lot to read into that other than our confidence that the city of New Orleans is going to recover despite everything you see on television and all the challenges that New Orleans faces. It is making progress every single day and there currently are sentiments not just in New Orleans but all around the country that this city needs to recover. There are issues from the past that need to be addressed. We are in an election period with both candidates for Mayor committed to addressing those issues, reestablishing the public schools, there are learning centers, providing more green space, mass transportation, all the issues that have held the city back, and I think the one thing you should read into our location here is the simple fact that we believe in the recovery of the city and that it is taking place.
Daniel Eggers, Credit Suisse: Great, thank you.
Operator: Thank you, moving on Steve Fleishman with Merrill Lynch
Steve Fleishman, Merrill Lynch: Could you elaborate a little more of what’s going on in Arkansas with respect to kind of the…I think it was a decision to actually also have you file a case and give any data on what the recent returns on equity have been in Arkansas.
J. Wayne Leonard, Chief Executive Officer: Yes Steve, I’ll let Rick Smith go through that. He has a pile of papers about what’s happening…he’s in the hot seat ever since they filed that, so he looks prepared.
Richard Smith, Group President, Utility Operations: Good morning Steve. We were surprised and disappointed with the Commission’s action as it related to the annual ECR, but we do recognize there was a substantial increase in our fuel rates and they have a desire, a need, to really review our cost. But our feeling was that we disagree with the actions they took by sustaining the ECR increase and that they should have put that into effect and review the costs going forward. In fact Arkansas law provides that utilities can recover prudently in fuel and in fact the APSC staff has no evidence of doing prudent action on the part of EAI and agrees with us that those rates should be in effect. So, we have made a series of filings asking for rehearing on their two orders, and the second is a show cause order that we’re working on today to comply with and we will make all the necessary studies and testimonies by June 8th, called forward in that show cause order and we’re very confident, we’re going to be able to just demonstrate that our actions were not only prudent but were also in the best interest of the customers of Arkansas, because these increases clearly were a function of some unprecedented gas price increases due to hurricanes in the Gulf last summer and a force majeure declaration coming out to coal suppliers to the EAI coal plants in Arkansas. So, like I said, we’re highly confident that we’ll be able to show in that June 8th proceeding that it was not only prudent but in the customer interest. That would be separate and distinct from what we’re looking at, because we would have expected the ECR to have been put in effect. That’s separate and distinct from what we’re looking as it relates to a rate request in Arkansas, and we’re working on those numbers and that filing right now, and we expect to make that filing in the third quarter of 2006.
Steve Fleishman, Merrill Lynch: Okay, but is the ROE that you earned in either 2005 are trailing or forecasted?
Richard Smith, Group President, Utility Operations: Well, we don’t give out those numbers, and I think you can look up in your own calculation, but there is definitely a need for a rate increase in Arkansas.
Steve Fleishman, Merrill Lynch: Okay, but I guess a general question on the whole moving from storm recovery back to kind of shareholder from the actions, say that the company — and this I guess is addressed to Wayne — I mean, what are really the trigger points for that transition, because you’re making some progress — not full progress — but it seems like you’re financially healthy status quo and even more as storm recovery flows through. So, I guess what is really the trigger that kind of goes back to where you were before?
J. Wayne Leonard, Chief Executive Officer: Well, there are two big things that are going to drive that. Certainly the Northeast power prices that we’re getting out of nuclear is certainly a boost that we hadn’t counted on originally, and then I think securitization of the storm cost is really critical to making that big leap. If you don’t give securitization, then you’re facing a much longer period of time of recovery. We have tests I think in Louisiana where at one time they established storm reserves they took the debt of balance over five years and then they established the average of the last ten years as far as your storm reserve and added them together. That will be a long haul to recover the money we’re down right now. So, the securitization piece, I think getting that in place is absolutely critical to getting us back to where we need to be as a company and where we should be as a company given the extraordinary effort and the fact that we’ve had a heartening season again. I don’t think they need to push these issues behind them before the next season comes up. So, really looking towards securitization as far as I think in advance that puts this really behind us and with these power prices being a kind of a boost to getting back to any ground that we might have lost while we wait for securitization. I don’t know if Leo has anything particularly to add to that, but I think that’s going to be a big issue for the board.
Steve Fleishman, Merrill Lynch: Just kind of legislative approvals of doing securitization?
J. Wayne Leonard, Chief Executive Officer: Yeah, I think once you get that done, my sense in talking to anybody whoever listens is, everybody understands securitization and it makes a lot of sense. The LPSC directed us to go out and do that. Mississippi has moved kind of a step beyond Florida in terms of general obligation bond, and I think even the strong industrial customers that we’ve had differences of opinion with in Louisiana over the years, our sense is that they understand the securitization role. Like Leo said, it’s an efficient way to provide for this, and it’s finding a way for alternatives; in Florida it is just proving that.
Steve Fleishman, Merrill Lynch: Thank you.
Operator: Moving on to Ashar Khan with SAC Capital.
Ashar Khan, SAC Capital: Good morning. Could you just go back to the comment you made that the prices have come down versus what was anticipated, the $83 megawatt hours in the forecast, could you just tell you what the curve you’re seeing right now is, or I guess the weighted average for your region similar to the $83 that you had in the January 2006 number?
Leo Denault, Executive Vice President and Chief Financial Officer: It’s down into probably balance of the year around the $70 to $73 range, and as we’ve said before, the more open position we have the more volatile that’s going to be going forwards. We have the ability to leave as much as 15% open and we did have the 91% of the portfolio going into 2006, but prices have come off on the front end down to that; balance of the year was probably around $70 to $73. They haven’t come down as much in the backend, and more stable out in the years beyond 2006.
Ashar Khan, SAC Capital: Okay, and then could you just mention what timeframe can the plant…you’ve mentioned, I guess, out of the operate, I forget the percentage, you were at 17% or something you mentioned, what timeframe can you be at 100% of your operate, what’s the program on that, how soon can it go to the 100% operate level?
J. Wayne Leonard, Chief Executive Officer: Ashar I’ll let Mike Kansler answer that. Mike runs our Northeastern fleet operations and as you all know he does an extraordinary job up there. He’s sitting here today, so I’ll give him a chance to address that.
Michael Kansler, President, Entergy Nuclear Northeast: Thank you Wayne, good morning Ashar. We actually are doing some analysis and some instrumention readings that we got when we got up to about 117% to 118%. We expect that analysis to take us about a week to get through and redo some curve limits that we had to stick to, and then we expect to bump to last couple of percents towards the end of next week. So right now, the debt that we’re seeing is not going to hold us back.
Ashar Khan, SAC Capital: Okay, thank you very much.
Operator: Thank you, moving on to Michael Lepides with Goldman Sachs.
Michael Lepides, Goldman Sachs: Hi guys, a quick question on the non-regulated nuclear and then one question on the regulated businesses. At Entergy Nuclear, for the new contracts that were signed this quarter for the 2008-2009 timeframe, at roughly what price on a dollar per megawatt hour were those signed?
Leo Denault, Executive Vice President and Chief Financial Officer: Michael, those are in the high 70s range.
Michael Lepides, Goldman Sachs: For 2008-2009?
Leo Denault, Executive Vice President and Chief Financial Officer: Yes, those were some of the strongest prices we’ve seen yet. But the market I guess I should say is pretty strong out there, so that’s around the high 70s.
Michael Lepides, Goldman Sachs: And on the regulated side, thinking about rate-based growth long term, you forget the RFP EOI, I think it’s the 500-600 megawatts of base load at Little Gypsy, are there any other plans for new base load generation for the regulated subs?
Richard Smith, Group President, Utility Operations: That would be the first base load plan that we’d be looking at, but we’re doing on RFP that looks into up to 2000 megawatts of capacity. A portion of that, again, would be related to load following assets similar to Perryville and Attala, so I would expect something to come out of the RFP, but similar to what we saw with Perryville and Attala that might be attractive to add to the portfolio. So that will take place over the next month or two where we get those bids in, and towards the end of the year where we’ll be ready to look at may contracting on one of them. So, there is some additional opportunity around some planned assets coming out of the RFP.
Michael Lepides, Goldman Sachs: That’s great, thank you guys, welcome back to New Orleans.
Operator: Thank you, moving on Greg Gordon with Citigroup.
Greg Gordon, Citigroup: Thanks. Wayne, I know the timing for you guys to start repatriating cash back to shareholders, it’s not to a large degree under your control, so if we just look out to year end 2007, I would assume that at some point between now and then we’ll get a clear enough view on storm cost recovery to go to the board with a strategy, what is your target, is that CAP ratio, EBITDA interest coverage and/or dividend payout ratio?
J. Wayne Leonard, Chief Executive Officer: Leo, hit that one.
Leo Denault, Executive Vice President and Chief Financial Officer: Thanks Greg. Right now I guess you can say that we’re still operating under the metrics that we’ve had over time to keep our debt ratio around 50% and having the payout ratio CAP at 60% and top quartile dividend growth, and also going back and forth between making that analysis that we always do between investments, share repurchases, and dividend increases. Over time we know that those metrics are continually reevaluated. We just have to change them. As you know, prior to the storms we were in a position to have done a significant amount of repurchases over the last several years as well as having two stepwise increases in the dividend. We hadn’t actually gotten very close to those CAPs or those metrics, and over time we know that prior to the storms and prior to the outflow because of the storms, we were getting into a position to continue down that path. We will likely have to look at all of those again when we start to develop that strategy going forward, when we get a clear line of sight of what’s going on with storm recovery. We’ll go back to the board and we’ll talk to them about the dividend payout ratio CAP, what kind of growth rate we should see, what kind of catch up may or may not be done both payer and on the repurchase program. So, we’re still operating under those same metrics that we talked to you about in the past, but as we go forward we’ll probably revisit those and maybe they’ll stay the same and maybe they won’t.
Greg Gordon, Citigroup: Well, just to clarify that, when you made your presentation at the EI conference last year, you indicated that you wouldn’t be satisfied with just getting back on track in terms of getting on a trajectory towards reaching those goals that you would want through investors, so that on the backward-looking basis you’d still be able to show that you would have had over time top quartile dividend growth and that you had efficiently redeployed cash back to them, is that a fair regurgitation of your position?
J. Wayne Leonard, Chief Executive Officer: Yes, that’s absolutely the goal. Like we have said, we’ve already started the process. Like Leo said, we’ve already started the process and we just finished the board retreat where Leo went through numerous scenarios of how to get back to that level, what it’s going to take to get back to that level, how we could do it and still maintain the risk profile that the board is comfortable with, so all those initiatives have been assigned to people and they’re working on them.
Greg Gordon, Citigroup: Thank you gentlemen.
Operator: Thank you, moving on Shalini Mahajan with UBS.
Shalini Mahajan, UBS: Good morning. Could you talk about the ongoing legislative session at Vermont and how bills that are proposing legislative approvals for license extension at the Vermont Yankee nuclear plant?
Michael Kansler, President, Entergy Nuclear Northeast: Yeah, I can speak to that, Mike Kansler. We just had the house rep there who just basically took a senate bill that was passed last year, which actually requires the legislature to approve both re-licensing and dry fuel storage for Vermont Yankee beyond 2012 when the current license expires, and they modified that bill to say that the legislature only needs to approve license renewal. You don’t have to come to the legislature twice for license renewals and dry fuel. You just need to come once and both will get that. That needed to be done before the plant can go to the public service board and seek a certificate of public good for both of those items beyond 2012. So, there was already legislation up there that said the legislature had their hands in re-licensing and dry fuel beyond 2012. They’ve now simplified the process and with current bill that sits in the house, we’re awaiting to see what happens in the senate. So, we’re basically working through the legislature, but as far as continued operation through 2012 we have our CPT for dry fuel storage now, Vermont Yankee, and we will seek license renewal and continued dry fuel storage beyond 2012 as we approach the 2012 timeframe.
Shalini Mahajan, UBS: Okay, and as I look at your contract coverage for 2007, you’re 81% contacted, is that the level that you’re comfortable with or could you look clearing some more hedges there?
Leo Denault, Executive Vice President and Chief Financial Officer: That’s what we’re comfortable there now. We’re actually is in a position that is more hedged than the limits would allow us. As we approach the end of the year, we would work ourselves to be at a maximum of probably 15% open. So, as we get closer to the end of the year our hedge limits would force us to get a little bit more hedged than that and we may chose to go farther than that if the point of view around the market pricing and the opportunities that we have present themselves.
Shalini Mahajan, UBS: Okay and then one last question. Leo, you indicated that you play around some hedges of eight or nine which at high 70s per megawatt hour, I was just doing some back of the analog calculations for nine, and my calculations were suggesting some of them could be maybe low-to-mid 80s as well, this was for nine, so I just want to know if I’m in the right ballpark there or not?
Leo Denault, Executive Vice President and Chief Financial Officer: In that high 70s, in the ballpark they do get into that range, yes.
Shalini Mahajan, UBS: All right, thanks Leo.
Operator: We’ll move on to Paul Rizdon with KeyBanc.
Paul Rizdon, KeyBanc Capital Markets: As we looked at your RFP, is the Arcadia plant that well situated that you could do something with that?
J. Wayne Leonard, Chief Executive Officer: Let me have Mark Savoff answer that. Mark is head of operations and the Arcadia plant falls under Mark and we’ll let Mark address that.
Mark T. Savoff, Executive Vice President, Operations: Good morning and thanks Wayne. Yes, the Arcadia plant is one that we’re looking at as well as a number of other opportunities that are out there that we hope that the various constituencies submit into the RFP, so that’s as good a plan as any of the other ones that could be brought in.
Paul Rizdon, KeyBanc Capital Markets: Thank you.
Michele Lopiccolo, Vice President, Investor Relations: Thank you operator and thanks to you all for participating this morning. Before we close we remind you to refer to our release and website for Safe Harbor and Regulations G compliance statements. Our call was recorded and can be accessed for the next seven days by dialing 719-457-0820, replay code 6287406. This concludes our call. Thank you.
Operator: That does complete today’s conference call. We thank you for your participation. You may now disconnect at this time.